Todd Ault : Welcome to our conference call and, to me, more importantly, a seminal event, as I said in the press release, about the future of the company. On the call today, Ken Cragun, our CFO - Ken, say hello.
Kenneth Cragun: Morning.
Todd Ault: We have Will Horne, our CEO and my business partner of many years - he’s on the call. Will?
William Horne: Good morning.
Todd Ault: And we have Chris Wu, President of Ault Alliance. Chris has been a recent addition back in July, super smart. Chris, say hello, my friend.
Chris Wu: Good morning everyone. 
Todd Ault: Here we go. So it is--what is today’s date, the 22nd? It’s the 22nd. We’re going to cover the slides real quick, but first we’re going to have a forward-looking statement, a little pre-record which we’re pretty excited about. Everyone’s just thrilled about this pre-record, let’s go.  This presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including but not limited to statements about Ault Global Holdings Incorporated, sometimes referred to as AGH; expectations regarding the market demands, future financial performance, the implementation of strategic plans and future growth. These statements are made based upon current expectations that are subject to known and unknown risks and uncertainties. AGH does not undertake to update forward-looking statements in this presentation to reflect actual results, changes in assumptions or changes in other factors affecting such forward-looking information. Assumptions and other information that could cause results to differ from those set forth in the forward-looking information can be found in this presentation and in AGH’s filings with the Securities and Exchange Commission, including its most recent periodic reports including the risk factors listed in the Form 10-K for the year ended December 31, 2020, the 2020 annual report as amended available on our website, and on the Securities and Exchange Commission’s website, www.sec.gov.   Is that everything? All right, so how do I move this forward here? I tried it, it’s not moving here. Let’s see, some slide arrow action - okay. Obviously we’ve covered this before, the sort of leadership team, myself, Will Horne, Henry Nisser, President and General Counsel, and Craig, who we introduced earlier, Chris Wu who we introduced earlier, David Katzoff, Darren Magot, Douglas Gintz, Joe Spaziano, James Turner, and Jean Ho, our Chief Accounting Officer. I want to mention Jason Bartholomew - he is Director of Business Development for the company and really instrumental in the Bitmain relationship and helping us sort of expand that over the last probably half a year or so, so we’re pretty happy about that. We’re going to go through the third quarter highlights. This is sort of the process - we’re going to go through the corporate structure, my commentary, and then we’re going to get to the meaty stuff, which I think is the best news for the company in a long time, and we’re going to try to focus in some of the questions people have, the scale, the Ault Alliance structure, and initiatives for 2022.  Let’s go to third quarter highlights. This is the current corporate structure of the company. This is an important thing to look at now because this will be changing towards year end, and a fairly dramatic change into two separate companies, which we’ll talk about later. You see Gresham, run by JR’s team, JR and Tim Long, a separate business. We really run them compartmentalized - CEO, own operations. Same with TurnOnGreen - they have a digital power unit there that’s not listed but is an important subsidiary. It’s been there for 51 years. Then you see Ault Alliance. Now, we don’t list every subsidiary here, but these are the main ones that are drivers. You can see a big position in Alzamend, Adtech Pharma, MTIX, which is the ABLP, the public company that is not reporting yet but is an alternative reporter. This MTIX is still there. I know people question, but we’re still committed to this process and we are--I mean, this is really something we really believe in. I know it’s been a long time, but we tend to not give up on great ideas, and so we’re working through that.  Ault , which we consolidate, which is the hedge fund, Alliance Cloud Services, the data center, the crypto miners, which is really the story. We worked for a long time, those of you who have been shareholders since 2016, ’17 know we tried at this before and had some trouble. We really feel like we’ve learned from that with our massive data center and the people that are involved, and Agree, which is run by Chris Wu, all global real estate equities, our commercial real estate division, we think it’s going to contribute a lot of EBITDA. One of the things we’re going to point out in the future here is high growth, high margin, which we’re seeing a bit now, and sort of steady as she goes EBITDA generation, which is what Chris specializes in. We’ll talk about that going forward.  For our nine months ended, we had $44 million in revenue - this is a dramatic increase from last year. The company is completely different. I think for legacy shareholders, it’s a little confusing because you have this very dramatic revenue growth, and one of the things you’re experiencing is mark-to-market transactions which really skew our revenue, and we’re going to cover that because in this quarter, in the fourth quarter, we’ve already said we own a big chunk of Mullen, which went public, and you can see on our books we have them for $3.2 million, but that’s obviously at today’s prices, created millions of dollars of gains, very similar to where Alzamend created millions of dollars of gains and then was marked to the market because it went down. This quarter it’s up, so it’s a really--it will be a balancing act as the portfolio develops over the next year or so, where you’ll see maybe a little bit more quarterly smoothness, but right now you see chaotic moves because of these large positions we have in other public companies that we mark to the market. Now, that’s the rules, by the way, folks. We follow the law - it’s called GAAP, and Buffet talks a lot about this. You have to flow it through your income statement, there’s nothing we can do about that, so it does create a ton of volatility in terms of revenue.  The lender is obviously a big contributor, up almost $20 million for the year. The lender is a very big part of go-forward for Ault Alliance. That is a very big part of the company and really part of our future plans.  Revenue from trading activities, we talked about a dramatic increase, a lot of volatility there. We have a gain of about $6.4 million on Alzamend - very misleading because we haven’t sold any, and we’re waiting obviously for future events there, so this is really--we look at Alzamend as like a call option that doesn’t expire on two drugs, and we’re pretty excited to own these two neurodegenerative treatments.  Crypto revenue, dramatic increase but I want to be clear, and I hope everyone can hear me very clearly on this, these are old machines. We did more in one month than we did all year with 1,000 of the new machines, so it’s very misleading and you’re looking backwards when you see this. But we start in March to turn on our old miners that we had in Indiana that continue to contribute to the company, but really it’s a go-forward statement and, unlike some companies that buy miners way far out, our delivery starts now. We get--we’ve already got 1,000, we get 300 a month every single month, so you’re going to see a dramatic escalation in the amount of Bitcoin mined. Obviously that’s subject to pricing in terms of how Bitcoin does. And of course, net income of $1.3 million versus a massive loss, in my opinion. I probably shouldn’t use the word massive, but a dramatic loss before in that nine-month period, and you see profitability, you see net income, a very big change for the company, and this is why we think it’s time to split the company up. We’ll explain that this is a real earnings story, a real growth story, and you have really this sort of parabolic growth that’s going to take place at BitNile, and we’ll talk about that. Obviously I’m not going to read this whole thing, but we’ve grown our assets to $225 million, very volatile because we took a write-down in terms of mark to the market for Alzamend, yet we’re still there. You see a revenue growth of 47% quarter over quarter. It’s really a great story for me because we’ve been putting this together. Myself and the team have been sort of building this together, these blocks to make this possible, and now they’re starting to pay itself off. But we admit that the current structure creates a lot of volatility for earnings. So we’re going to--Ken, do you want to comment at all about the third quarter before we move onto this transformative--the structure here. I wonder if you wanted to comment about this slide at all or anything you want to talk about in terms of--
Kenneth Cragun: Yes, so I think you touched on it. We really focused on the nine-month results because we did see big swings quarter to quarter from unrealized gains or losses. We have a big position in Alzamend, and we’re big believers in Alzamend going forward so we’re happy to have that large position. But what happened in Q2 is they had gone public on NASDAQ, they had run up to almost $9, we had a big, big unrealized gain in Q2, and then the market kind of settled down and we ended Q3 at $3, so we had a big unrealized loss. But life today, as you pointed out, Todd, we’re still up $6.5 million on our position in Alzamend, and so you’ve got to kind of look at the numbers and dive in one level deeper to see what’s driving the fluctuations. And then on slide--yes?
Todd Ault: Ken, I was kind of hoping you could cover for everyone--the best way to cover this is to give them a sense of the fact that the portfolio on the lender getting marked to the market, we see a pretty big mark to the market this quarter in Mullen. We’ve publicly disclosed we filed a--
Kenneth Cragun: You’re talking about Q4. 
Todd Ault: Right, and I’m just trying to explain to them that they’re going to see some positions up and down quarter-over-quarter, maybe how that affects your thinking here.
Kenneth Cragun: Yes, exactly, because Todd is active in trading and we’ve taken some nice positions. Mullen Technology was a good one - they listed on the NASDAQ, their stock’s up nicely, and we had that position prior to their up-listing so we’re up significantly on that position. There are some other trades that have been made on IPOs that have performed very well in Q4. We’re not really here to give specific guidance on Q4 but we do have a few positions and a few trades that have worked out very well so far, and here we are more than halfway through the quarter. 
Todd Ault: Yes, I think it’s important that we’re not giving any guidance for Q4 at all - that’s not the point. The point is to understand that we have a large portfolio there. Ken, do you remember the size of it as of right now? Is it approximately--I don’t want to misspeak, but is it around $100 million or is it a little less than that right now?
Kenneth Cragun: Oh, we have a larger position than that on Mullen, and plus there’s the warrants, so.
Todd Ault: No, but I mean in terms of the size of the overall portfolio of the lender.
Kenneth Cragun: Oh, $100 million - right, right. Yes, and when you think about the lender going forward, that’s going to--well, we’re getting into the transition of where it is and what assets sit where. One thing in your quote on Slide 8, Todd, is you have to do a bit of a shout-out to Gresham Worldwide, the defense business. During the third quarter, they were up 47% compared to last year. Now, they do have Gresham Worldwide that contributed to that, but they’re starting to perform as we’ve allocated additional capital to JR and the team at Gresham Worldwide. They’ve been executing on the backlog and their numbers are trending up nicely, so again a little bit of a shout-out to them when we talk about how--
Todd Ault: Yes, I would say if you look at the overall holding company structure at any given time, one company or another may be doing better than the others. This has sort of been my philosophy for a long time. I know the market doesn’t want to reward sort of the conglomerate model - I’m aware of that, but for us and for Will and I and the team, it gives us comfort to know that we have this sort of broad diverse portfolio. This is the way we run things and this is why we’re transitioning to BitNile, because we’ve kind of acknowledged that it’s getting a little ridiculous on how they’re valuing the whole company. Will, I thought maybe you could comment on the third quarter, what we’ve done year to date. Will, your thoughts at all? Let’s give Will a second, he usually mutes his line.
William Horne: Yes, look - I wouldn’t even comment on the third quarter specifically, but just the nine months ended, if you look at where we are today compared to where we were September of last year, it’s night and day. Revenues have grown, we’ve solidified our balance sheet, we’ve eliminated virtually all of the debt at the company, right, and that’s at a subsidiary level as well. I think we’re reporting less than $2 million of total debt, of which half of it is in our subsidiary in Israel, so it’s a strong balance sheet. We’re not leveraged, we’re not in a position that doing any more financing transactions are necessary in order to meet debt obligations, and I think we can all remember what that was back in ’19 and really the early part of 2020. It’s allowed us this year to start focusing on really the initiatives that we’ve outlined. If we go back and look, I would say these started really in December of 2020 when we acquired the data center. It was a strategic acquisition and it was nice because that was really what allowed us to enter into crypto currency to the extent that we wanted to, which was on a bigger scale, a much bigger scale than we’d previously attempted back in 2018, so. 2021 has been fantastic for the company. 
Todd Ault: Yes, I want to emphasize what Will just said. He said that we don’t really need to raise money to service debt, and that’s really important because all of our future capital and the flexibility of future capital is based on the idea that our current operations don’t need money to service that debt. The debt is actually inconsequential now at this point with a quarter--you know, $225 million give or take balance sheet, the debt is literally less than 1% of the balance sheet, so we’re very happy there, where we don’t have to deal with that, and obviously the lender contributes to cash flow along with our ramp-up in mining for sure, although we have not sold a Bitcoin to date.  Will, I wanted you to talk a little bit about structure we have set up. We did file a shelf, and we do have a lot of flexibility to go to preferreds and obviously take on debt. Can you talk a little bit about your thoughts on leverage and our ability to leverage given our free cash flow we think we’re going to generate in 2022 and ’23?
William Horne: Sure, so again historically when we were doing financings, it was to service debt because we had a lot of subsidiaries, a lot of early stage businesses in some regards because they weren’t generating positive cash flows. Now as we transform the company, we’re looking at entities that will be cash flow positive - BitNile is a perfect example of that, and as you have companies that are accretive and are generating cash flow, it puts you in a situation where you can go out and raise debt in order to expand the business effectively, so we are looking at that. It’s something we’re considering. We have not made any decisions at this point, though. 
Kenneth Cragun: I think there’s an important thing--you know, one of the things that Chris brings to the table is he’s a guru in structuring these financing transactions so they can stay within the entity that’s being financed. I know we have some acquisitions teed up with very positive EBITDA that we can leverage to have some self-contained debt within that target company. I know Chris is actively working on a couple of those.
Todd Ault: Yes, Chris brings a lot of financing power from Teneo and his background at Carl Marks, and really the ability for us to do non-recourse financing at this subsidiary level, and that’s a really important factor here. Also, Chris has been working with the team to allow us, when we expand our miners, to be able to borrow money from an equipment financing perspective too, and this is a really important component of how you look at the company going forward, because we have a lot of levers to pull in terms of equity versus debt versus equipment financing, etc., so really kind of a maturity that’s happening to a holding company and now that separation is going to take it to the next level. Let’s go through the transition real quickly here. Will, what do you think--Will, do want to add anything to this slide before I get started? This is sort of the new path of what we think things look like going forward.
William Horne: Yes, I mean, I think this is a logical outcome. If you look back and if you look at what really I think we’ve signaled to the market over the last 10, 11 months, and that is BitNile is going to become a significant standalone entity. If you look at the recent purchases that we’ve announced of miners, we’re talking close to $200 million in the aggregate for the miners, so having that significant of a balance sheet and then of course the resulting revenues that will be derivative of that, it makes sense to position this as a standalone company and move forward with that. Again, it’s very distinct and different from Ault Alliance, which as Todd will point out is the holding company structure where we’ve got multiple companies that are basically maturing until they’re in a situation like BitNile, where they can be ultimately spun out.
Todd Ault: Chris, I wondered if you had any commentary here about the new structure. I know you’re a pretty big component of it and a big fan of it. Maybe you can touch on DFI a little bit.
Chris Wu: I’m pretty excited about the transformation just because across all of our platforms, we really have an opportunity to optimize the assets so that various investor bases can take advantage of them, and as we discussed earlier, our strategy is to help grow--BitNile will be very significant, especially in expanding blockchain technology which we believe is very transformative and one of the most important innovations of our time, and therefore we are evaluating the development of and investments in a variety of blockchain technologies, of which the centralized commands is critical, DFI for sure, so we believe that DFI will also be quite additive strategically to BitNile as a miner which will be an essential pillar in the crypto currency ecosystem, so pretty interested to expand beyond just mining as well.
Todd Ault: I ask everyone on the call to look at this chart and understand this is really an earnings power story, but two different kinds of earnings power. You see the earnings power of the data center and our mining capabilities, and this really changes the narrative because we are at, I think, about $18 million a year now, and as we put 300 new miners on a month and then going to March, when we’ll be putting 2,300 miners a month in, this is not a long term vision. This is happening right now in real time. We’ve already had delivery of 1,000 and then 300, and then 300 every month for 10 months, staring in March 2,000 a month for six months, and then in August we ramp up with those green miners, which is the relationship with BitMain, and I can’t stress enough to you that direct relationship with BitMain has sort of changed the narrative. But on the other side, Ault Alliance, you see an earnings and EBITDA story, especially with the lender, with Agree, the real estate business, TurnOnGreen obviously is a high growth business that hasn’t kicked in yet, and we anticipate, still anticipate and I’ve been planning that that would eventually float or do some sort of public transaction either with a SPAC or an IPO. All things are on the table there. We’re not confirming anything there, but we know that Gresham and TurnOnGreen are looking to do their own public transactions, so a lot of opportunity for future shareholders. If you’re a shareholder of BitNile holdings, the old DPW Ault Global when it changed its name, you’ll wake up with Ault Alliance in your portfolio someday, so it’s important to understand you’re going to own two public companies. Here is the scalability of the mining business and what I talked about in terms of delivery, the 16,000 miners and the 4,600 miners. I do want to bring to everyone’s attention that we did buy an additional 600 miners - we did disclose that in our 8-K, but we haven’t issued a press release with it because it’s now, if you think about it, not as consequential to the size of the miners we have and the scale we have.  Ken, can you talk about this chart here, the hash rate? I’m very proud of the fact that this hash rate is a certain percentage of all Bitcoin mined, depending on total hash rate. Ken, any thoughts here?
Kenneth Cragun: Yes, this is what’s exciting when we think about BitNile in the fairly near term being a standalone public company, because it would be a pure play crypto miner with data centers and some DFI initiatives. As we install these 2,600 miners, there is 4,600 of them are at a higher hash rate - you know, 140 terahash, and it brings the total company to 2.2 exahash, and at $60,000 to $65,000 per Bitcoin, where we’ve been over the last few weeks, we get to $300 million in revenue. Think about our year-to-date revenue through nine months of $44 million this quarter and then we’ll exit 2022 as we--well, as we ramp up to these 20,600 miners, we’ll be at a run rate of probably $300 million, depending on market, right? You always have to put an asterisk on these forecasts that it depends on where the market is, difficulty level and the U.S. dollar price of Bitcoin.  It’s very exciting. It pencils out great , as you can see on that table, but what was exciting was when we put in the first 1,000 miners in Michigan last month, they’re performing just as we scheduled out in our model, so it’s good to see as the rubber’s hitting the road, that the revenue and the margin are penciling out as we projected. Now it’s just a matter of getting in the new machines, racking them up. Crypto Joe, who is on our team, has done a great job with that, been working very hard. Seen the data center - it’s beautiful, it’s clean, a lot of space, and so it--and we’re ramping up the power capacity there and so--yes, we’re definitely very excited about this.
Todd Ault: I would say Crypto Joe, Darren, the team, Randy, the people, Caesar, others that have joined us in Michigan to help build that out as we develop that team, Brian there in Michigan, that data center is really incredible. I’ve done some live video there. It’s really the forefront of what’s going to happen with BitNile going forward, the relationship with BitMain and that data center. I do want to bring everyone’s attention to assuming Bitcoin of $30,000 to $40,000 and current difficulty levels, we’ll still mine $139 million to $185 million at a depressed price, so we were not foolish enough to underwrite this with the perfect weather, as you sort of speak. We’re not out there saying, hey, we’ve got $100,000 Bitcoin. If you look at the chip shortage and understand the difficulty scale, there are still S9s producing today, five, six years later, so we’re upgrading sort of the top of the mining pool, the best miners in the world with the 140 terahash. You can see we’re investing, we’re here to win it, we’re in it to win it, we’re investing to be there.  Will, any commentary on what we’re doing in mining? I know that your mathematical brain has been at work here.
William Horne: I think Ken has done a good job explaining it. It’s exciting. If you go back, and again we’re looking at history here, but in 2018 we wanted to get to 10,000 miners, and you brought up the S9s - obviously that was our original entry into crypto currency mining. Things have changed, it’s transformed. We have a data center, we’re able to control the operations 100%. We’ve got a good handle on our electricity costs, our power costs, which obviously is the primary driver in your overall profitability, and the new miners are so much more efficient than where the S9s were, it’s really changed the entire dynamics of that industry. I couldn’t be more excited, and that’s why I think now is the right time to put in place this transformation of the company.
Todd Ault: One thing to know that we do publish on the BitNile website every two weeks, number of miners installed and Bitcoin mined, and we will be committing to once a month putting out a press release of total Bitcoin mined. This is important to us - we want to be transparent, we want to show the shareholders that we’re very committed to this process, and like I said earlier, if you look at what we mined in all nine months, we’re doing more than that, a lot more than that on a monthly basis and growing, so you would be expecting that.
William Horne: Well, and it’s important to understand, Todd, that when we started putting in the S19s, those effectively went in at the very tail end of September, and then of course completed that initial installation in October. These assets have just been in service. 
Todd Ault: Yes Will, it’s a very good point, and that is we get a lot of people questioning things, but you’ve got to look at timing from the time we restructured the balance sheet, completed the $200 million of raise - and by the way, thanks to all the shareholders that were supportive during the ATM process. We raised a lot of money. It really transformed the company, and this is why we’re trying to reward shareholders with sort of this pure play--it is a pure play in mining DFI and data, and we want to be a player here. One of the things we’re looking at going forward, you see a number and say, wow, what if they generated $200 million, $300 million? What are they going to do with that money? Obviously a lot of flexibility there with no debt. We’re obviously going to pay down any financings we do to continue to buy more miners and expand, but you also see an opportunity for us to continue to invest in the hash rate, and that’s why you’re going to see us pretty much continually go out there and look for additional miners as we start to generate cash with that relationship with BitMain. You can see that in our commitment to the 4,600 new XP, the green miners with the carbon credit, really a fascinating transaction we did in Dubai. Going onto Ault Alliance, we don’t list every subsidiary here, and I want to bring in Chris for the conversation about potential acquisitions. Now Chris, obviously these transactions are not done - we’re contemplating them, but can you talk in general about the kind of transactions you look like? I want everyone to shift their focus from high growth, sort of parabolic revenue growth, which is where we’ll be looking at BitNile, to sort of a steady as she goes EBITDA model. Chris, your thoughts?
Chris Wu: Sure Todd. I think that’s one of the opportunities that we’ve been actively focused on since I joined the company in July. We are very actively pursuing companies that are stable insofar as recurring revenue with appropriate EBITDA margins, and so what we’re hoping to do strategically is across our platforms, obviously unlock the value at BitNile but also from an Ault Alliance perspective provide shareholders with opportunities that they will be able to see--I don’t want to say conventional, but more mature companies going through a secular phase in their growth, and therefore an appropriate juncture requiring capital from Ault Alliance to reposition them. But at the same time, they are already mature from a development standpoint, and therefore what we’re guiding towards more longer term is to provide revenue and EBITDA that’s of a quantum that’s meaningful.  I also believe that applies to Agree, where obviously that’s a new entity with no assets at the moment, but we don’t expect that to be the case in the subsequent quarters moving forward. Again, what we’re looking for in terms of Agree is commercial real estate with the types of net operating income that people would understand from a real estate perspective. 
Todd Ault: I’m going to go onto the next slide. Let’s talk about the reorganization based on what we’re doing now. The company will change its name before the end of the year. We already secured the symbol NILE - N-I-L-E, that’ll be the new DPW symbol. The new name will be BitNile Holdings, which will effectively own the data center, the mining operation, and any DFI initiatives we have.  Some things that we’re contemplating for 2022 based on the reorganization, we’re looking at special dividends. We really wanted to look at the possibility of being a company that issued Bitcoin as a dividend to our shareholders. This is a complicated thing because you have to have a wallet, you have to be able to make it available to DTC so it goes into your brokerage account. Not a simple thing, but we’re working on that. Obviously you could always pay a cash dividend, and if you see that big generation that we think we’re going to have in ’22 and ’23 and beyond on the BitNile side, these are contemplated transactions. For the future, BitNile will continue to mine operations strategic procurement of geographical locations in terms of mining power as we expand out of Michigan. We’ll be looking at other data centers to expand. We want to be at sort of the top of the food chain - that means being in the top 10% out there. And then of course, as we said earlier for initiatives, we’re going to looking at future acquisitions in the Ault Alliance side. So what’s going to happen in December, you’re going to wake up with a new symbol and a new name, and then really what you’re going to hear going forward is pretty much DFI, Bitcoin data, and you’re going to have this subsidiary waiting in the wings to be a special dividend, obviously for shareholders. You could do the math - if everyone does the math, it could be a large special dividend, but we’ll see what happens. Will, any comments in the initiatives for 2022?
Kenneth Cragun: Will, you’re muted.
William Horne: I apologize, I’m here. So 2022 is real simple - it’s a continuation of 2021 to the extent that we’re talking about execution, right, putting capital to work and advancing the operations of our subsidiaries. BitNile obviously is a significant entity from the standpoint of cash requirements and capital expenditures and investment, and the other companies, it’s much more modest. 
Todd Ault: All right, Ken, any comments on the slide of initiatives for 2022?
Kenneth Cragun: Yes, it’s important to understand that we need to--this will be at a point where we have that capital available for dividends. Historically if we have capital, we’re investing it back in the business, but you saw the numbers on the previous slide - if we’re doing $300 million in revenue at 90% margin, that’s a lot of capital available, and you would think we would be carving out some of that to reward back to our shareholders.  Of course, leave it to Todd to want to do something cutting edge, like pay a dividend in crypto, so we’ll get that figured out.
Todd Ault: Hey - if we can, we can. We’ll see what happens there, obviously  the bottom, you’ll see subject to Delaware law, and profitability of Bitcoin mining and approval from the board, but this is something that I’m pretty fond of the idea. I mean it’s cutting edge and I know it’s not been done. We’re looking at it pretty hard, but we’re pretty excited what we’ve built, and there we go, right? Sort of wrapping up this summary, for the future of the name change, symbol change to NILE. Restructuring the two subsidiaries, obviously BitNile will control Alliance Cloud Services and the mining operation. Ault Alliance will control Gresham, TurnOnGreen, Digital Power and Agree, and the other subsidiaries - there’s quite many of them, some of them smaller in size, not really relevant today. The possibility of a special Bitcoin dividend, we’re going to look at that. Biweekly updates on what we’re mining, so very transparent on the mining side. Update on potential DFI investments, which we’re looking at pretty intensely, and then update on future and corporate development. Look for the name change in December and then look for that special dividend some time in 2022.  As we wrap this up, Chris, any parting thoughts?
Kenneth Cragun: You’re on mute, Chris.
Chris Wu: Not really. I think you summed it up, Todd. This is a seminal time, as you’ve already stated in your press release, and we believe this unlocks value for shareholders.
Todd Ault: Hey, we appreciate that, Chris. Thank you so much for joining us, obviously. Will, any parting thoughts?
William Horne: Look, I think 2021 has been a success to date. I think we’ve done a fantastic job raising capital. I know we announced the completion of the $200 million ATM. If you look at our average costs that we were selling securities under that equity financing, it was significantly above where the company is trading at today, so--
Todd Ault: A 381 average, 381 average - great average. 
William Horne: Yes, we were able to bring in money on a very, very favorable term, and again this is something that we’ve struggled to do historically, so that and the prospects, future prospects of the company with the existing businesses, it’s fantastic right now.
Todd Ault: Yes, I can say the same thing. Ken, any parting thoughts before we hang up here?
Kenneth Cragun: Yes, looking out a year from now, this is going to be--well as you mentioned, Todd, looking back a year compared to today, it’s night and day. From where we are today, which we’re very happy about, and looking ahead 12 months, it’s going to be even a more dramatic improvement with the ramping up of mining and the acquisition, the key acquisitions that Chris is looking at. Ault Alliance could at $200 million of revenue and significant EBITDA, and then we’ve seen that BitNile has that $200 million, $300 million run rate potential, so it’s really exciting times for us. 
Todd Ault: Thank you, Ken, so much. Thanks everybody. Let me give you a quick little summary as we exit here. A couple things to think about, and that is we’ve got two vehicles now - BitNile, Ault Alliance, one EBITDA cash flow story, but still significant revenue growth as Ken said. You have a really sort of parabolic revenue growth around one of the most transformative technologies around, and that’s blockchain, with BitNile, and what we decided to do is really reward people now. We could have went down the path of trying to spin out BitNile in IPO, but we wanted to demonstrate to shareholders because we know it’s taken some time with TurnOnGreen and Gresham, and those haven’t got public yet. We wanted to make sure we could really cut the umbilical cord and make this happen for shareholders now, and that’s why we took the initiative of making the parent BitNile Holdings and really changing the narrative. As a shareholder, you’re going to have a choice going forward - do you hold onto the parabolic growth that is, we think, BitNile, or do you keep both and have Ault Alliance in your portfolio. We really encourage you to think about Ault Alliance as a value player with a future generation of businesses it owns, buying undervalued assets, Chris and myself and Will and the team finding things that we think are undervalued, sort of the future BitNiles of the world, but really steady, more earnings, relative earnings, more EBITDA focused, then you see this sort of DFI disruptive point at BitNile. So look for the name change in the symbol change. We appreciate everybody. We do know there’s a lot of volatility in the quarterly earnings and obviously we can expect that. You can see that with things like Mullen and other IPOs that we’ve participated in the quarter. Appreciate the whole team sticking with us. Special thanks to all the shareholders that have been so loyal and stuck with us through that ATM. We’ll see what the future brings. We’ll see you at year-end and going into new year. Happy Thanksgiving to everybody. Thanks for being on the call. 
Kenneth Cragun: Thanks everybody. 
Operator: